Operator: Ladies and gentlemen, thank you for standing by. Welcome to the NetEase third quarter 2008 earnings conference call. During today’s presentation, all participants will be in a listen-only mode. Following the presentation, the conference will be opened for questions. (Operator instructions) This conference is being recorded today, Wednesday, November 12 of 2008. At this time, I would like to turn the conference over to Ms. Brandi Piacente, Investor Relations for NetEase. Please go ahead.
Brandi Piacente: Thank you, operator. Please note that the discussion today will contain forward-looking statements relating to future performance of the company and are intended to qualify for the Safe Harbor from liability as established by the US Private Securities Litigation Reform Act. Such statements are not guarantees of future performance and are subject to certain risks, uncertainties, assumptions and other factors. Some of these risks are beyond the company’s control and could cause actual results to differ materially from those mentioned in today’s press release and this discussion. A general discussion of the risk factors that could affect NetEase's business and financial results is included in certain filings of the company with the Securities and Exchange Commission, including its annual report on Form 20-F. The company does not undertake any obligation to update this forward-looking information except as required by law. As a reminder, this conference is being recorded. In addition, a webcast replay of this conference call will be available on the NetEase corporate website at corp.netease.com. I will now turn the conference call over to Michael Tong, Co-Chief Operating Officer, who will read the prepared remarks on behalf of Mr. William Ding, Chief Executive Officer of NetEase.
Michael Tong: Thank you, Brandi. Thanks everyone for joining us. In the third quarter of 2008, we achieved solid revenue and earnings growth due to continued strong execution in both online games and advertising services. Total revenues for the third quarter of 2008 were $118.8 million compared to $105.4 million in the prior quarter and $84.1 million for the third quarter of 2007. For our online games business, our revenues this quarter totaled $99.4 million compared to $87.6 million in the previous quarter and $69.0 million for the third quarter of 2007. We believe that the online gaming industry in China continues to enjoy healthy growth and shows no obvious signs of slowing. NetEase has developed a large online community of royal users, and our online gaming business performed well in the third quarter due to the continued popularity of Fantasy Westward Journey, a leading MMORPG in China. Our game pipeline remained strong through the release of expansion packs of our existing flagship games and the developments of new games. For the third quarter, Fantasy Westward Journey PCUs and ACUs were 2.3 million and 675,000 respectively compared with 2.0 million and 627,000 for the second quarter of 2008. During August, Fantasy Westward Journey reached a new record high of 2.3 million peak concurrent users and exceeded 200 million registered users. As a result of a successful launch of a series of in-game marketing activities during the summer holidays. The increased activity we experienced during July and August more than offset the seasonal softness experience in September, which is a back-to-school month in China. Westward Journey II and III both continued to attract user interests and performed well. For the third quarter, PCUs and ACUs for Westward Journey II were 450,000 and 117,000 respectively compared to a 544,000 and 149,000 respectively for the second quarter of 2008. During the third quarter, on September 24, we launched a new expansion pack for Tianxia II, our first 3-D time-based game. And both the number of online users and consumptions level have shown progressive growth since the commencement of its open beta testing on June 6 this year. Also during the quarter, we commenced a closed beta testing of Heroes of Tang Dynasty, a Chinese history-based and adventure role-playing game, and the open beta testing of Legend of Westward Journey, an item-based version of our popular Westward Journey game series. We are also selectively considering licensing opportunities, such as the one we signed in the third quarter with Blizzard Entertainment, to further penetrate the online game market. We are looking to our agreement with Blizzard to license and introduce StarCraft II and Battle.net to our large and receptive community of gamers in China. We do not yet have a fixed time label for the launching of these games. With regard to the development of our new search engine, this quarter we upgraded the site design and changed the domain name from Yodao to a more user friendly pinging name of Youdao.com. We also added numerous new products and features, including music search, video search and map search. We added a machine translation service and a new personalized home page. And both of these features have been well received. Our strategy is to first create the best Chinese oriented search experience and then drive traffic to it with effective marketing strategies. We have been focusing on improving the underlying search technology to create a compelling and competitive search engine on our platform that we can leverage with our user base and advertisers. Advertising revenue increased this quarter reflecting the company's ongoing effort in strengthening the content of its portal. During the quarter, we made enhancements to our e-mail, blogs and search products, as I mentioned, and raised the overall users' experience to a new level to attract and engage new users. We plan to continue to improve our service offerings and content to further enhance our leadership position in the market. Aside from improving ad revenue on under-monetized assets, we recently announced our agreement to be the exclusive sponsor of 2010 Asian Games in Guangzhou. Our emphasis on increasing the competitiveness of our portal has resulted in increased traffic to our site and additional growth in the number of e-mail users during the third quarter. As such, our advertisers have found our portal more valuable platform to market their products and services. Advertising services revenues were $16.6 million for the third quarter of 2008 compared to $15.3 million and $12.6 million for the preceding quarter and the third quarter of 2007. We believe that the outlook for the Chinese Internet advertising market continues to look positive as a result of the rapid expansion of Internet users, increased popularity of e-commerce and the continued shift in advertising revenue to the Internet from traditional media advertising. With that, I would like to turn the call over to Onward Choi, Acting Chief Financial Officer, for his review of our third quarter 2008 financial results.
Onward Choi: Thank you, Michael. I will now provide an overview of our third quarter financial results using numbers and percentages based on US dollars. In order to avoid any repetitions with the press release, my comments will focus on the discussions of margin and expense fluctuations, along with net profits. Starting with the third quarter results, gross profit was $93 million compared to $106.5 million in the preceding quarter and $65.1 million for the same period in 2007. The quarter-over-quarter decrease in gross profit was primarily driven by the receipt of a business tax refund of $21.6 million in June 2008 and increased content costs arising from Olympic-related price increases by content providers. The decrease was partially offset by increased online game and advertising services in the current quarter. The year-over-year increase in gross profit was primarily driven by increased online game and advertising services revenues, partially offset by higher content costs and higher staff related costs resulting from increased headcount in the current quarter. The quarter-over-quarter increase in online game revenue in the third quarter of 2008 was primarily attributable to certain Fantasy Westward Journey related in-game marketing activities launched during the summer holidays of 2008. The year-over-year increase in online game revenue in the third quarter of 2008 was primarily attributable to certain – sorry. The year-over-year increase in online game revenue was primarily attributable to both Fantasy Westward Journey related marketing activities in 2008 and the successful launch of an expansion pack for Fantasy Westward Journey with new designs and features in late September of 2007. The quarter-over-quarter and year-over-year increases in advertising revenue were primarily attributable to higher demand for advertising services during the third quarter of 2008. Gross profit margin for the online game business for the third quarter of 2008 was 89.7% compared to 91.2% and 89.4% for the preceding quarter and the third quarter of 2007, respectively. The quarter-over-quarter decrease in gross profit margin was primarily due to the business tax refund received in the preceding quarter as mentioned above. The year-over-year gross profit margin remained relatively stable. Gross profit margin for the advertising business for the third quarter of 2008 was 26.9%, compared to 52.6% and 54.0% for the preceding quarter and the third quarter of 2007, respectively. The quarter-over-quarter and year-over-year decreases in gross profit margin were primarily due to increased content cost arising from Olympic-related price increases by content providers, partially offset by higher revenues. Gross loss margin for the wireless value-added services and others business for the third quarter of 2008 was 6.4%, compared to the gross profit margin of 28.8% and the gross loss margin of 33.3% for the preceding quarter and the third quarter of 2007, respectively. The quarter-over-quarter decrease in gross profit margin was primarily due to the business tax refund received in the preceding quarter, as described above. The year-over-year improvement in gross loss margin was primarily due to increased revenue from the sale of accessories and premium e-mail services, lower business tax from certain preferential business tax treatment in China, which commenced in the first quarter of 2008, and lower server depreciation expenses during the third quarter of 2008. Total operating expenses for the third quarter of 2008 were $24.2 million, compared to $22.1 million and $26.4 million for the preceding quarter and the third quarter of 2007, respectively. The quarter-over-quarter increase in selling and marketing expenses was primarily driven by higher marketing costs related to the marketing of Fantasy Westward Journey and Tianxia II, higher marketing cost associated with the Beijing Olympics and higher staff-related costs as a result of increased headcount. The quarter-over-quarter increase in general and administrative expenses was mainly due to a net increase in bad debt provision during the third quarter of 2008. Research and development expenses remained relatively stable quarter-over-quarter. The year-over-year decrease in operating expenses was primarily due to decreased selling and marketing expenses related to the launch of Westward Journey Online III in the third quarter of 2007, partially offset by increased research and development staff cost resulting from increased headcount in the third quarter of 2008. During the third quarter of 2008, we reported a net foreign exchange loss of $10.1 million under Other, net, compared to $3.9 million and $1.7 million for the preceding quarter and the third quarter of 2007, respectively. The quarter-over-quarter and year-over-year increases in net foreign exchange loss in the current quarter were primarily attributable to a translation loss arising from the company's US dollar and euro denominated bank deposits and the fact that the company fully redeemed its zero coupon subordinated convertible notes in July 2008, which had generated exchange gains in 2007 and 2008 prior to such redemption. Net profit for the third quarter of 2008 totaled $46.1 million compared to $64.5 million and $38.3 million for the preceding quarter and the third quarter of 2007, respectively. We reported both basic and diluted earnings per ADS of $0.36 for the third quarter of 2008. We reported basic and diluted earnings per ADS of $0.53 and $0.50 and $0.31 and $0.29 for the preceding quarter and the third quarter of 2007, respectively. Let me now give you an update on the implementation of the new tax laws in China. Our subsidiaries and variable interest entities are at various stages of progress depending on the requirements of the different local tax authorities in applying for the new and high technology enterprises preferred tax treatment pursuant to the Working Guidelines for Assessment of New and High Technology Enterprises issued by the Chinese tax authorities on July 8, 2008. Accordingly, we have followed the applicable accounting standards and adopted the statutory rate of 25% in making tax provisions for the third quarter ended September 30, 2008, except for entities still enjoying unexpired tax holidays. The tax charge for the third quarter of 2008 was $18.5 million, compared to a tax charge of $20.6 million and the tax charge of $2.9 million for the preceding quarter and the third quarter of 2007. The quarter-over-quarter decrease in tax charge was mainly a result of an increased level of income recorded by our subsidiaries and variable interest entities operating in China, which currently enjoy unexpired tax holidays. The year-over-year increase in tax charge was mainly due to the lower effective tax rate in effect under the pre-2008 tax laws. Under the pre-2008 tax laws, our effective tax rate was 7.1% in the third quarter of 2007. We expect to reverse any excess tax provisions in subsequent periods when our subsidiaries and variable interest entities in China are granted the New and High Technology Enterprises preferential tax status, which is expected to be partially offset by the reduction to deferred tax assets recorded at the lower preferred tax rates in future quarters. Now turning to the balance sheet. As of September 30, 2008, we have total cash and time deposit balance was $777.5 million, compared to $612.5 million as of December 31 of 2007. Cash flow generated from operating activities was approximately $73.0 million for the third quarter of 2008 compared to $75.6 million and $50.0 million for the preceding quarter and the third quarter of 2007, respectively. On September 12, 2008, our Board authorized a share repurchase program of up to $100 million of our outstanding ADS. We recently completed a 12-month share repurchase program, which we announced on July 2, 2007. As of September 30, 2008, we have spent in aggregate a total purchase consideration of approximately $36,000 [ph], which included transaction costs. Thank you for your attention. We will now be happy to take your questions. Operator, please go ahead.
Operator: Thank you, sir. (Operator instructions) Dick Wei with JPMorgan. Please go ahead.
Dick Wei – JPMorgan: Hi, good morning, guys. Just two quick questions. First of all, can you give us a small update in terms of the Blizzard joint venture in terms of – I guess you mentioned the timeline, your time just goes, but any new thoughts on the betterment of business model? And then if you can also talk about the pipeline in 2009, that would be great. Thanks.
Michael Tong: Hello, Dick. For the Blizzard JV, I think I can – following our signing of the agreement with Blizzard in mid-August, I think everything is now in place and we are progressing well in rolling out the new products. But just as what we have mentioned, everything is still working on. And so there is no specific timeline that we can comment on for the time being, but we will update you as soon as possible. As for the second question, regarding the game pipeline, I think currently the company has been progressing well during the year in rolling out some new games, including the Legend of Westward Journey, which we have already rolled out the open beta in September. And we have also – already kicked off the closed beta testing of our other game called the Heroes of Tang Dynasty. And this is what would be going up in the coming period.
Dick Wei – JPMorgan: But can I have a follow-up. In terms of the demographics I guess for Tianxia II and then for the Legend of Westward Journey, I think the game is targeting mostly on the lower tier cities like for your Fantasy and Westward Journey II series, or it is targeting more into the top tier cities?
Michael Tong: Yes. Obviously for the Tianxia, it’s targeting towards users who have high requirements of the hardware configurations. So, yes, in some way it’s a bit more targeted towards a bit more to the more developed cities. And then on the other hand, it is the Legend of Westward Journey where the requirement is lower in terms of the hardware. So you can say that it covers a bigger mass of the users.
Dick Wei – JPMorgan: And for the Heroes of Tang Dynasty, is it also lower hardware requirement too?
Michael Tong: Yes.
Dick Wei – JPMorgan: All right. Great. Thanks a lot.
Operator: Thank you. Our next question comes from the line of Lisa Suan [ph] with Morgan Stanley. Please go ahead.
Lisa Suan – Morgan Stanley: Hi, good morning. I have two questions. Number one, could you update us with your ForEx position? My second question is, you have three games under your Westward Journey franchise, do you see any kind of cannibalization among the three games?
Michael Tong: May I ask you to repeat your first question? Is it ForEx?
Lisa Suan – Morgan Stanley: Yes, yes, ForEx position for your cash.
Michael Tong: Okay.
Onward Choi: Let me answer your first question. Regarding our foreign currency position, I think what the company has been doing is that out of our total cash balances, we have around 30% of those would be denominated in the foreign currency, namely the US dollars and also the euro. And all the rest would be denominated in the RMB. And so what we have been saying in the earlier quarter is that our exchange loss mainly arrived from the foreign currency denominator in US dollars and euro. And because of the fact that we have fully redeemed the convertible notes in July, and so the previous exchange loss attributable from this part of the cash balances would be resulted in the next foreign exchange loss in our current quarters.
Lisa Suan – Morgan Stanley: Okay, thank you.
Onward Choi: Okay. As for your second question regarding the gaming cannibalization, I think basically all of our games would have their own features and their target gamers. And so I believe that the effect of cannibalization will not be that significant.
Lisa Suan – Morgan Stanley: So can you talk about the different target for the three games?
Michael Tong: Okay. Maybe I can add a bit more on this. For example, between Tianxia and Westward Journey and Westward Journey II, we actually check the number of accounts that actually have played both games. It only represents a very small percentage, less than – around 10% or so, whereas players actually play both games in the same accounts. I mean, we can look at the numbers this way. Of course, one player can actually use two real names to register for two accounts. But if you register using the same name, then you will play actually both games, then the percentage is a very small percentage although they are both named under Westward Journey series. And the reason behind that is obviously because one is that games we have different targets on – as we have said, between Fantasy Westward Journey and Westward Journey is between cartoon-like and more adult-like. And then on the other hand, on the new Westward Journey, it’s 2.5-D, and then the other games are 2-D. So it’s targeting towards different types of players. Rather than answering this question by saying, you know, targeting different kinds of demographics, the different types of players who would like to play different kinds of games. So our past experience is that the cannibalization is actually not that high.
Lisa Suan – Morgan Stanley: Okay, thank you.
Operator: Thank you. Our next question comes from the line of Alicia Yap with Citigroup. Please go ahead.
Alicia Yap – Citigroup: Hi, yes, thank you. Good morning, Michael and Onward. I have three questions. First of all, regarding your larger than expected FX loss, with the exceptions of the redeemed convertible notes, is that any new FX hedging strategy that you entered that actually went against the direction of the strengthening US dollar? And then will this be only a one quarter effect or will we see the FX loss actually will come down to a normal level next quarter? I have two follow-ups.
Onward Choi: Okay. Let me answer your first question regarding our ForEx strategies. Basically, the company would pay a more conservative approach in managing our cash balances. And we would use mainly the deposits as a way to make sure that our capital (inaudible) in this time rather a volatile and turbulent economic environment. And of course, what you have mentioned regarding the hedging strategy, say for example, the forward contracts or some other kinds of – special kinds of instruments, financial instruments, we will basically not consider this kind of practice. But rather we would try to, focusing more on doing some high-yield deposit placings [ph] with reputable banks.
Alicia Yap – Citigroup: So this will be just a third quarter effect, right, with –?
Onward Choi: Hopefully not because, as you know, we still have the bank balance denominated in the foreign currency. And as long as we put in the – place the deposits at those banks, given the – it would be affected by the currency movement going forward in the global economies depending on how the currency goes. And then this would still have some impact on our P&L on those unrealized foreign exchange losses.
Alicia Yap – Citigroup: So maybe I – can you just help me understand a little bit more because obviously you have been having the USD denominated balance all this while? And then RMB actually appreciated much more in the previous quarter. Is this mainly because of the euro denominated deposit that you actually gained from redeeming your convert or –?
Onward Choi: Alicia, maybe I would put it this way. Because our company’s functional currency would be denominated in RMB and so we have to – at each quarter-end we need to do some conversions back to the US dollars in closing our books. And so as long as there are any changes in the currency movement in the US dollars, this would have an impact to us. We need to reflect those trends in our income statement.
Alicia Yap – Citigroup: Okay. And then my second question is regarding the tax rate. You previously provided kind of like the guidance for the full year 2008, the effective tax rate to be 18% to 23%. And since you have not received the approval for the preferential treatment, what is the full year tax rate we should expect for 2008 as well as 2009? And based on your conversations with tax authorities, when do you expect to receive the preferential tax treatment?
Onward Choi: I think what we have previously projected would still be our position for the time being, but not until we can get the final approval from the tax authorities. We cannot request back the current tax rate approval that we’ve been providing at 25%. But just as what I have mentioned earlier, different local tax authorities would have different progress in issuing out the requirements and the exact procedures of making the applications. And we have – so different locations will have different progress in the applications. But we are still looking forward to get those cleared before the end of this year.
Alicia Yap – Citigroup: I see. And lastly my question is on advertising revenue. So despite the Olympics, your online ad revenues actually did not grow as strong as I expected at least. Could you comment a little bit on that? Was that mainly due to most of the non-Olympics sponsors actually pushed out and delayed their spending during the crowded period? And it would be great if you can share with us your expectation for the online ad market in the fourth quarter and 2009. What is your view on the overall market versus NetEase on growth potential? Thanks.
Michael Tong: Sure, of course. I think – yes, I think on the first hand, I think we need to meet that. Our growth is not as strong as our competitors’. And I think that is why – the reason why that you said is not as good as you expected. And we have to admit that. I think the biggest – one of the biggest reasons is that the NetEase brand has not been well understood by the advertisers in terms of where there is important event such as the Olympics. Our brands or our product structure has more – a bit more e-mail and then content. So in terms of the important events such as the Olympics, it is harder for advertisers to understand how to utilize our platform where e-mail is a very important part of our platform. So they don’t take us as totally as content media platform. But on the other hand, I think Olympic actually takes [ph] us a very good opportunity for us to exhibit that we are very good at doing important events as well. For example, during the Olympics – after the Olympics, there are many third-parties research or survey that shows that for (inaudible) we are the number one video website in terms during the Olympics. For example, we also see third-party research that says that we are – NetEase is the most liked website for reporting the Olympics. So I would believe that after this Olympic, I think we have exhibited besides our very strong product base in terms of e-mails and blogs and so on as a very good media platform. We are also very strong in terms of the content. So I think out of this Olympic, we weren’t able to monetize as much as you and I have expected – or I have expected. But I think it’s a very good opportunity for us to exhibit our strength in also reporting important events. In terms of the ’09 or going forward advertising market, I think it’s a bit hard to say right now, as you probably understand that most of the – during the year, most of the time it’s around February to March that we will have a very good visibility for the overall year where we sign with some of the major advertisers on yearly contracts or yearly overall budget. So I think it’s a bit early to say. Right now, we don’t see very, very strong signs of slowing. Of course, we see problems in specific industries such as real estate or in some cases like automobiles and so on. But I mean, the problems in the industry rather than I see that they actually cut their budgets and so on. So I think it takes a bit more time to see it more clearly how is it going to be reviewed. But at the same time, there are few areas that especially I don’t see any signs of slowing, namely e-commerce such as consumer-related e-commerce and also gaming, areas that we don’t see any signs of slowing.
Alicia Yap – Citigroup: Okay. Thank you very much for your long explanation. Thank you.
Operator: Thank you. Our next question comes from the line of Eddie Leung with Merrill Lynch. Please go ahead.
Thomas – Merrill Lynch: Hi, this is Thomas [ph] calling on behalf of Eddie Leung. Just a follow-up question on the advertising mix. Would you tell us something about what is the fastest growth of the advertisers in this quarter? And would you kindly talk about the top three advertisers during the quarter? Thanks.
Michael Tong: Sure, of course. The top three will be automobile, Internet, and IT, whereas the highest growth would be telecommunications, financials, and Internet.
Thomas – Merrill Lynch: Okay. Got it. Thanks.
Operator: Thank you. (Operator instructions) And our next question is from the line of Adam Krejcik with Roth Capital Partners. Please go ahead.
Adam Krejcik – Roth Capital Partners: Hi, thanks for taking my question. Just to get back on this foreign exchange loss in the quarter, it shows up as about $10 million loss on the income statement on the other line. Perhaps you could tell us what the FX loss or what that loss would have been excluding the redemption of the convertible preferred note? I guess, what would be a normalized level for the other income in that FX line there? I gather a lot of it had to do with the exchange loss due to the convertible note you redeemed in the quarter.
Onward Choi: Basically, the exchange loss we have recognized in our current quarter’s P&L is truly from our bank deposits denominated in US dollars or euro – dollars. And the effect has already been taken out from the redemptions of the convertible notes in previous quarters, which would attribute a gain to us.
Adam Krejcik – Roth Capital Partners: Okay. I guess just on more kind of on a run rate going forward, I mean, should we assume a $10 million loss at this kind of – assuming that the exchange rate continues to dress the way it is, or is it going to be more like the $4 million that we saw in Q2?
Onward Choi: I think we once commenced the –
Michael Tong: We will. I think that we will.
Onward Choi: Yes. Unless there would be an upper trend for the RMB. If not, I think the number is – it’s still quite difficult to projecting future quarters.
Adam Krejcik – Roth Capital Partners: Okay, no problem. In terms of Westward Journey III, I don’t think I got the PCU and ACU for that game in the quarter. Could you elaborate on what that was?
Brandi Piacente: And we just had e-mailed it to all the analysts as well, and you are on that list.
Adam Krejcik – Roth Capital Partners: I’m sorry. I’ll check my e-mail again, I just – I didn’t see it. Was there any discussion regarding Tianxia II, any statistics in terms of the number of users or the ARPU for that game?
Michael Tong: Actually since the previous quarter, because we have launched several new games, including Tianxia II, Westward Journey III and all this, we have decided not to disclose specific game numbers for Tianxia or for Westward Journey III or so on. But I think in general terms, we would say that for Tianxia II, we continue to see a progressive growth ever since the internal data that was started in June. And we have just released an expansion pack and we also see the games continue to see continued popularity.
Adam Krejcik – Roth Capital Partners: Okay. And then finally, there is $4 million on the balance sheet that says pre-payment for license rate. Is that safe to assume that’s the upfront royalty for the Blizzard agreement?
Onward Choi: Correct. This would be a milestone license piece that we are paying to Blizzard.
Adam Krejcik – Roth Capital Partners: Okay, great. Thanks a lot.
Onward Choi: Yes, thank you.
Operator: Thank you. Our next question is from the line of Paul Keung with Oppenheimer. Please go ahead.
Paul Keung – Oppenheimer: Good morning, guys. Just quick question, when do you expect to launch Legend of Westward Journey and Heroes of Tang Dynasty?
Onward Choi: I think there would be no fixed timelines of whether we would – in fact, for the Legend of Westward Journey, it has already come into the open beta phase because this would be an item-based game. And so similar to what we have launched for the Tianxia II basically is already – can be regarded as commercialized. As for the Heroes of Tang Dynasty because we are still currently in the closed beta testing phase of this game, we would be still watching the progress and the performance of this game, and as soon as we have – we feel comfortable to turn it into open beta, then it will become commercialized (inaudible) for another item-based game of our company.
Paul Keung – Oppenheimer: Right. And just a follow-up on that. When do you think you will have like a major marketing campaign for both games?
Michael Tong: I think for the marketing campaign, I think it is always our company’s strategy to find the most effective means of doing the marketing events by – at the right timing and at the right mode, because I think the kind of marketing that we believe that we have to do in the online gaming front would be more different from the other kinds of products, because we would try to see rather the game has reached a critical mass [ph] that we really need to do another significant round of market events. If not, I think the current – markets that we are currently adopting would be good enough in progressively building up the games.
Paul Keung – Oppenheimer: Okay. And another question from me would be, is it possible for you to just let us know what percentage of gamers paying for fee-to-play games?
Onward Choi: Sorry, we don’t disclose this kind of statistics.
Paul Keung – Oppenheimer: Okay, thank you.
Operator: Thank you. At this time, I’d like to turn the conference back to Ms. Piacente for closing remarks.
Brandi Piacente: Thank you once again, everyone, for joining us today. Please feel free to contact us if you have any further questions. Have a great day.
Operator: Thank you. Ladies and gentlemen, if you’d like to listen to a replay of today’s conference, please dial 303-590-3000 or 1-800-405-2236. You can access the conference with the code 11121416 followed by the pound key. AT&T would like to thank you for your participation. You may now disconnect.